Operator: Good afternoon, everyone, and thank you for waiting. Welcome to GOL Linhas Aéreas Inteligentes Second Quarter of 2013 Results Conference Call. With us here today, we have Paulo Sérgio Kakinoff, CEO; Edmar Lopes, Chief Financial and IR Officer; and André Carvalho, Head of IR and Planning. This event is being recorded. [Operator Instructions] This event is also being broadcast live via webcast and may be accessed through GOL Linhas Aéreas Inteligentes' website at www.voegol.com.br/ir, where the presentation is also available. Participants may view the slides in any order they wish. The replay will be available shortly after the event is concluded. Those following the presentation via the webcast may post their questions on our website. They will be answered by the IR team after the conference is finished. Before proceeding, let me mention that forward-looking statements are based on the beliefs and assumptions of GOL Linhas Aéreas Inteligentes' management and on information currently available to the company. They involve risks and uncertainties because they relate to future events, and therefore, depend on circumstances that may or may not occur. Investors and analysts should understand that conditions related to macroeconomic conditions, industry and other factors could also cause results to differ materially from those expressed in such forward-looking statements. Now I'll turn the conference over to Mr. Paulo Kakinoff. Mr. Kakinoff, you may begin your presentation.
Paulo Sérgio Kakinoff: Hello, everyone, and thank you for joining us in our earnings conference call for the second quarter of 2013. Let's begin with Slide #4, where we highlight the substantial BRL 320 million increase in our second quarter operating results, which led to a loss of BRL 35 million versus the loss of BRL 355 million in the second quarter of 2012. It is also worth noting that this improvement took place in what's the Brazilian aviation industry's seasonally weakest quarter. The operating margin also moved up, widening by 18 percentage points in the same period. As a result, GOL posted a positive operating margin of 1.7% in the first half versus a negative 8.7% in the same period in 2012, reflecting the company's commitment to resuming positive operating margins this year. This performance led to an improvement in the key operating indicators, including EBITDA, which reached BRL 602 million in the first half, BRL 344 million more than in the entire year of 2012. Slide #5 shows the main factors behind this operating performance. PRASK moved up by 10.5%, recording double-digit growth for yet another quarter, helping to push up RASK by 7.5%, especially due to the 13.4% upturn in yield. CASK x fuel fell by 8%, primarily due to the reduction in personnel costs, while total CASK fell by 8.4%, thanks to the 3.4% year-on-year decline in the average fuel price and more efficient aircraft fuel consumption following the grounding of the B737-300s. As for cash, in line with the commitment to maintaining high levels of liquidity, the company closed the quarter with a cash position of BRL 2.8 billion, representing 34% of net revenue in the last 12 months and GOL's highest ever figure. Fueled by the upturn in EBITDA, our financial leverage ratio, represented by adjusted growth that's divided by EBITDA in the last 12 months, fell by 44% to 15.5x. This process began in the previous quarter and we are heading towards a substantial reduction in leverage due to the EBITDA recomposition, further strengthening our balance sheet. On Slide #6, we can see the evolution of GOL's main indicators in the first half. The company was able to generate practically the same revenue as the first half of 2012, with a reduction of around 10% in costs. The increase of 10 percentage points in our margin was achieved in a scenario in which the real depreciated against the dollar by 9% and fuel prices moved up by approximately 5%. Next, on Slide #8, we have a comparison of RASK and CASK x fuel variations between American and European airlines that disclosed their results. GOL was the company with the most significant evolution in all indicators. Slide #10 shows the reduction in the domestic supply and the increase in PRASK between the periods. It's worth noting that even with some smaller cut in supplier over the last year, we are continuing to maintain high PRASK growth, in line with our focus on route profitability and resumption of positive margins this year. On Slide 11, you can see that the improvement in PRASK was achieved without losing focus on our client. We are expanding our range of products and services and delivering an increasingly attractive flying experience, both for passengers seeking low fares and for corporate travelers. In fact, corporate flyers have been the object of special attention from the entire company. According to the latest figures from of ABRACORP, the Brazilian Travel Agent Association, GOL's share of its market has grown by 3 percentage points in the last 12 months. Today, we have 33.5% share and have virtually eliminated the previous gap in pursuit of the leadership of the segment. Moving on to Slide 12. It's possible to note that a reduction of BRL 413 million in the first half of '13[ph] , with the flexibility of managing fixed and variable costs through decisions, which focus on cost reduction and adjustment of domestic supply. This cost fine-tuning is the result of GOL's dynamics in adjusting its structure, even facing an environment with pressure in operational costs. Moving on to Slide 13. We highlight the fact that GOL reduced its number of employees by 20% since the beginning of 2012, when, at the same time, it became the most punctual airline in the Brazilian market in the first half with a punctuality ratio of 94%. In addition, the remote check-in ratio increased by 13 percentage points. And the customer satisfaction index, which measures passengers' perceptions of GOL's service in more than 30 airports on a scale of 1 to 10, increased by 4% over December 2012 when the survey began. Passing on to Slide 15. We believe SMILES has been constructing a series of competitive advantages in order to increase its strength as a loyal building tool. The expansion of the membership base, which reached 9.3 million, the growth of the commercial partnerships and the building of closer relations with financial institutions are helping make SMILES an increasingly important sales channel for GOL. In second quarter '13, SMILES has recorded impressive results, underlying the potential of the loyalty program industry in Brazil. I will now hand over to Edmar, who will present our results for this year. Edmar, please?
Edmar Prado Lopes: Thank you, Kakinoff. Good morning, everyone, and thanks for joining us today. I will start over with Slide #17, and I will go over the main factors impacting our results in the second quarter of 2013. Over the top line, Kakinoff has spoken a lot. This is the focus that we have. And we do have a view here that our strategy is indeed showing results. We care for strong yields and that's how PRASK and RASK are going up. As for the exchange rate, we are facing a new level. It has impacted our results, especially on the balance sheet on the second quarter. And there will be an effect from now on. This obliged us -- or takes us to a new level of efficiency in terms of fuel consumption, as well as to keep our focus on the cost side. We were able to reduce over BRL 200 million in the second quarter. And we will go over a few issues showing that moving through the second half, it will be very much the same, that is the company will show strong results on that side. Talking about one-offs or not exactly recurring items over our results. I will explain the sale-leaseback transactions. They posted a BRL 30 million gain in the second quarter, very much the same number that we had in the first quarter, bringing us to a total of BRL 60 million in the first half. We had 8 aircraft, which were done -- executed on the deed[ph] structure. We have another 8 coming in the second half of this year. Therefore, we do expect the same or close to that amount in the second half of this year related to that. Also, starting April this year and it will go over until October, we have subleased 5 737-8s to Transavia, a [indiscernible] subsidiary from KLM. They will come back later for the high season here in Brazil. And it does relieve us for some pressure on the cost side. Moving on to Slide 19. I will go over the main indicators on the operational side. We -- total supply in the second quarter was down 2.7% year-over-year. On the domestic front, capacity was down almost 6%. And in the first half, the total capacity was down by 7.5%, and domestic capacity, down 11%, which is a number higher than we announced a little bit earlier in the year. But we think it was necessary due to the weakness on the Brazilian economy. This led us to a 36% market share in the domestic market, down from the previous year. Again, we highlight here on this slide, the effort that the company has been making over the top line, so the figures for PRASK, RASK and yield are at least close to a double digit, if not bigger than that. Moving on to Page 20. We see a summary of our results. Again, over the quarter, we see some increase on the top line, almost 5%. Even though we have decreased capacity for the first half, the number -- the total number for revenues are flat, while we have decreased our cost structure by more than BRL 400 million. I would like to highlight the increase that we are showing on the EBITDAR. EBITDAR was negative in the second quarter of last year, BRL 62 million. This year, we are showing a number of BRL 235 million. This is almost BRL 300 million increase. This turnaround has moved our EBITDAR for the first half of the year from BRL 206 million to beyond BRL 600 million. That's an increase of almost 200%. On the net income, what really has hurt the balance sheet here was the LTM[ph] of the debt due to the FX variation. This accounts for roughly 75% of the results that we're seeing here. Down at the same slide, you'll see that we, again, are showing a very strong cash position and that leverage is coming down. Moving on to Page 21, the next slide, please. It's very much the same. On the left-hand side, we see that revenues are flat year-over-year for the first half. We see that's moving up. CASK, total CASK, was down for the first half by 2.2%, while CASK x fuel was down by BRL 0.33. That's roughly 3.5%. On the EBITDAR and EBITDAR margin on the bottom of the chart, we see that the increase was almost BRL 400 million, and in terms of margin, was a 10% increase year-over-year. That's a very strong recovery, as we happily announced. Moving on to the next slide. We show the cash position. It does include short-term investments as well, but we have a 34% position over last 12 months' revenue. This is the highest position ever for GOL, both in nominal terms and in relative terms. On the right-hand side of the chart, we show also other assets that we have in our balance sheet that we can dispose, if necessary. First is SMILES that are 57% nowadays. The market value of that is close to BRL 2 billion. And we have also 40 aircraft on the financial lease that we can dispose any time, if we do face, let's say, a stress situation. Moving on to Page 23 on the slide. Again, it's a chart that you are familiar with. We have been showing that. This is very much the strategy that we have in place, that is we have no refinancing pressure for the next 2 years, and we have been working over the debt that is coming due in 2015 and '16. We do expect to have some news over the next 2 months. And the aim here of GOL today is to have no pressure beyond that. Moving on to the next one. It shows how leverage has decreased over the second quarter. It was a very strong move, and the first one comes on the EBITDAR improvement on the left-hand side. The EBITDAR for the last 12 months went up BRL 654 million, up from BRL 357 million in the first quarter. Again, we are changing that quarter that we had last year to much better, reasonable quarters that we've shown this year. On the right-hand side, you see that, and I'm talking only about financial debt here, debt movements in the second quarter. First, there was no new funding. No new money was brought into the company. We amortized BRL 151 million within the quarter. The number for the first half of the year was over BRL 318 million. And we saw the FX alone in the second quarter, was responsible for BRL 216 million effects in our numbers. That is, putting it all together, you see that the leverage went down from 28x to just over 15.5x. This is again a decrease of 44%. Before I hand the floor back over to Kakinoff, I would like to highlight what is happening here with fuel in Brazil. We have a lag. I recall that there is a lag between what you see in the screen and the price that Petrobras passes on to us. And so the recent moves in the FX and fuel and oil itself will show the pullback in the third quarter of 2013. We are seeing prices for the liter of jet fuel of BRL 2.70 per liter. This is an all-time high. Just for you to know, during the second quarter of this year, the average price was BRL 2.30. So we see an increase for the quarter-over-quarter of another 10%. And although it hurts us and puts more pressure on the cost side, we will -- we're exiting[ph] the guidance and this is what Kakinoff was just saying now. Thank you very much and we'll wait for you in the Q&A. Kakinoff, please?
Paulo Sérgio Kakinoff: Thank you. The various scenario changes faced by the industry in recent years have strengthened the company's capacity to confront challenges while maintaining a reduced cash position and appropriate debt profile, cost efficient and a focus on slight profitability, always seeking to serve its clients in the safest and most intelligent manner possible. At the moment, we are facing an even more challenging scenario, but GOL has prepared itself happily and efficiently to respond to the situation. It's for these reasons that we have revisited all indicators and maintained it over the beginning of the year and our operating margin guidance at between 1% and 3%. As a result of the company's commitment in reducing cost, it was possible to review the CASK x fuel interval downwards to between BRL 0.095 and BRL 0.10 per available seat kilometer. We have also updated the average exchange rate and average fuel price for the year. Thank you all for taking part, and we will now begin the question-and-answer session.
Operator: [Operator Instructions] Our first question comes from Mr. Jim Parker, Raymond James.
James D. Parker - Raymond James & Associates, Inc., Research Division: A couple of questions. One is, you've made a lot of improvement year-to-year in the second quarter, but you're still incurring losses in a -- you're looking at a seasonal pickup here in business. And I'm curious as to your outlook going forward on capacity, in that, unless you're making money, will you consider taking out additional capacity?
Paulo Sérgio Kakinoff: James, we are -- well, we believe we are balancing the ratio between capacity and PRASK increase. As you can see over our presentation, we developed the ability to increase PRASK over proportionally our capacity reduction. So this is, I would say, the result. Basically, I am talking on Page 10. We have some measures in place to keep the same ASK[ph] by increasing measure -- sorry, decreasing marginally our capacity, if necessary, at the same time that we will keep the pace of -- to this PRASK increase. That's exactly what we are forecasting to happen all over the second half of this year. Did I answer your question?
James D. Parker - Raymond James & Associates, Inc., Research Division: Okay. Yes. I'm curious as well about, have the -- has the rioting or civil disruptions, has that had any impact on your revenue?
Paulo Sérgio Kakinoff: No.
James D. Parker - Raymond James & Associates, Inc., Research Division: What's your take going forward?
Paulo Sérgio Kakinoff: Not really. The revenue we are keeping at a pace. We are increasing, as I mentioned before, increasing the PRASK while we could keep CASK under control, even with the slight reduction. And this is what we are predicting to happen in the second half of the year. July 1 inputs show us a positive performance in the revenue side, but that's high season in Brazil. In August and September, we will, as Edmar said, we are going to face the highest ever jet fuel price in Brazil. And we believe we have prepared the company to go through this, I'd say, strong winter, better than -- much better than we did in the past. So we do not foresee any disruption in the revenue side.
James D. Parker - Raymond James & Associates, Inc., Research Division: Yes. And how are you able to maintain your cost guidance when you've got the sharp increase or substantial increase in fuel, which, of course, part of that is a weakness in the real? And then, overall, on your other expenses, the weakness in real was impacting. So how are you able to maintain your cost guidance, given those fuel and real upward cost pressures?
Paulo Sérgio Kakinoff: We are relying on 2, I'd say, different and complementary dynamics. The first is a very strict control on personnel, and we are now pursuing additional opportunities to maximize that number or optimize will be the right word, to optimize that number. And we believe there's some room for additional opportunities. And we have achieved a better efficient in jet fuel consumption. So when you see the jet fuel price evolution in the second -- in the first half of the year and our consumption, they're ASK[ph] , it has dropped significantly. And this is the way we are keeping the CASK at this low level, even lower than last year, at the same time that, that fuel price has increased by 4%.
Operator: Our next question comes from Mr. Duane Pfennigwerth, Evercore.
Duane Pfennigwerth - Evercore Partners Inc., Research Division: Just wondered on your cost guidance for the rest of the year. How would that change if the real stays at BRL 2.30 here?
Edmar Prado Lopes: This is Edmar here. We are taking into account the new level of FX, okay? So what you see on the table of the guidance is the average for the year. So it's indeed reflecting the current levels, okay?
Duane Pfennigwerth - Evercore Partners Inc., Research Division: Okay. I thought it was BRL 2.20 in the back half, but we can follow up with you on that. And then, can you talk about to what extent your guidance includes further sale-leaseback gains?
Edmar Prado Lopes: Yes, I can go over that. We have done, so far, 8 aircraft and it has posted a BRL 60 million gain in the first half, roughly BRL 30 million each quarter. We have another 8 aircraft for the remaining of the year, and we do expect the same levels of gain, okay?
Duane Pfennigwerth - Evercore Partners Inc., Research Division: Okay. And then, if I could just stick on fleet. Can you just remind us, the old 737s, the Webjet fleet, can you just remind us how much of that was leased versus owned? And can you talk about sort of the lease return conditions? How -- if, as you sort of wind those aircraft down, you have lease return conditions and how you're able to sort of manage that expense?
Edmar Prado Lopes: Okay, sure. Going back in time, when we acquired Webjet, they had 24 planes. Out of those, 18 were leased and 6 were owned, okay? So what we have now -- and moving forward, by the end of 2012, we made provisions for the returning of the remaining leased aircraft, and it was roughly BRL 140 million for all the Webjet [indiscernible]. Most of it was related to aircraft, roughly BRL 120 million, if I'm not mistaken. So far, we have returned most of the aircraft with no economical impact because the provisions were enough, were, let's say, at the right size, in order to deal with that. So from now on, we still have a few to be returned. I think the number is 5 from now on. And we have provisions for dealing with that. So in terms of balance sheet of results, we do not expect any major deviation, any major impact from the returning of the remaining aircraft, okay?
Operator: Our next question comes from Mr. Thomas Kim, Goldman Sachs.
Thomas Kim - Goldman Sachs Group Inc., Research Division: Can you give us a little bit more information about the sales and marketing initiative related to the sponsoring of the soccer team, the football team?
Paulo Sérgio Kakinoff: Yes, it's Kakinoff speaking. This is a contract until the end of the next year. We have been -- GOL has not only been nominated as the official transporter for the Brazilian National League, but also we are transporting all the players in -- for the A, B, C and D soccer series in Brazil, which means also an interesting deal on the revenue side. This is, I think, the overall information on that view. Is there any specific question you would like to highlight?
Thomas Kim - Goldman Sachs Group Inc., Research Division: Yes, yes, exactly, I do. So there is some commentary suggesting that it's going to -- well, can you just walk us through how the expense is going to be accrued over the -- so you said, it's over the next year that the expense will accrue? And will it be the same rate accrued during the second quarter?
Paulo Sérgio Kakinoff: No, the expenses are all diluted over the quarters.
Thomas Kim - Goldman Sachs Group Inc., Research Division: Four years?
Paulo Sérgio Kakinoff: No, no, 2 years because it goes until the end of next year. So 2 years.
Thomas Kim - Goldman Sachs Group Inc., Research Division: Okay. All right. But the -- in the commentary, there was the statement that you'd be sponsoring them, the team, over the next 4 years. But the advertising, specifically, is only going to be for 2 years?
Paulo Sérgio Kakinoff: No, no, actually, this is for the 2 years. The contract is for the 2 years.
Thomas Kim - Goldman Sachs Group Inc., Research Division: The 2 years.
Paulo Sérgio Kakinoff: The 2 years.
Thomas Kim - Goldman Sachs Group Inc., Research Division: Okay. All right. Because that's what I saw. Because that's why -- okay. So on Page 13, I'll just clarify that. Okay. And then, so is the quarterly expense -- should -- could you provide a little bit more detail in terms of what is -- how much of the expense from sales and marketing was directly attributable to the sponsorship?
Paulo Sérgio Kakinoff: That we cannot give -- give you the disclosure. We are under a non-disclosure agreement. But I can tell you that the current commercial and marketing expenses related to that are stable and they are predicted to be stable over the following quarters until the end of the next year. So there is no onetime event or onetime special cost to happen.
Thomas Kim - Goldman Sachs Group Inc., Research Division: Okay, that's perfect. And then, if I could just stay on the cost side. With regard to labor, I mean, you've done a great job reducing the cost structure. Number one, how much of that reduction in labor cost is permanent versus temporary? And then, I'm just also wondering a point sort of 2, do you have the ability to reduce labor -- the number of laborers even further, given the significant decreases thus far?
Paulo Sérgio Kakinoff: Starting to answer from the end. The right answer is yes. You probably -- you can easily understand how faceted this topic is to allow us to do any kind of announcement. At the moment, we believe the current structure of the company is the right size to face the future challenges. But we are surely prepared to go after additional reductions in case it's necessary. So we have been improving all the efficiency indicators within the company, duration, employees per aircraft, employees per takeoff, employees per airport, at the same time that we have included our self-checking[ph] structure. So it means that we are going to continuously pursue this efficiency increase. That might give us additional opportunities. But at this time, I would like to officially say that the company is at the right size to face the future challenges, unless there is a dramatic change in the macroeconomic environment, even more dramatic than we have already foreseen. So your first question, is this a permanent reduction? The answer is yes. We -- it's part of the answer previously given. We believe that's the right size and this is the new personnel size of the company.
Operator: Our next question comes from Mr. Stephen Trent, Citi.
Stephen Trent - Citigroup Inc, Research Division: If I may ask 2 questions, please. The first is, I mean, everybody is obviously focused on 2013. I'm curious, how we should think about 2014 as you guys are expanding your international flying via the Dominican Republic and through co-shares with Delta Air Lines and others? And how are you thinking about the opportunity there in terms of, let's say, diversifying your cost base away from some of the very high costs you faced in Brazil's domestic market? And that's my first question.
Edmar Prado Lopes: Okay. This is Edmar here. Thanks for the question. I will start it and then I'll pass over to Kakinoff, okay? If I answer your question about 2014, you're talking about cost structure and ASK, it's -- we are still initiating our budget process here. It's fairly [indiscernible]. But so far, we can anticipate that it's going to be, let's say, a conservative approach from what we see now, okay? Even though it's elections, there will be elections in Brazil, we do not see a major pickup in economy. We understand that the growth will be by[ph] numbers, and therefore, our approach will be related to that, okay? So then I'll move on to Kakinoff. He will go over that and others.
Paulo Sérgio Kakinoff: Unfortunately, we cannot talk that much on our 2014 forecast. But I think that the right or the most appropriate answer would be giving you a more holistic view on our strategy. I have clearly stated that last year would be the prelim[ph] year to put averaging in the 2012 results. I mean, provisions, restructuring process, the most -- the toughest decisions we are taking there in order to prepare the company for the following 2 years. 2013 would be the year to achieve minor or low-single-digit positive operating margin. This is what we are -- we have achieved so far and what we are confirming as a guidance until the end of the year. In spite of a very strong deterioration in the macroeconomic scenario, we have been able to adapt the company and to be agile enough to face such volatility and macroeconomic variations. So I think that we are back on track on that plan. And for the following year, we believe that we are going to have an even more robust structure to improve the results in comparison to 2014. I mean, bringing the company back to the desired profitably level is one of our main goals at the moment. And I think that we are on the path -- on the way to do that.
Stephen Trent - Citigroup Inc, Research Division: Great. And just one quick -- one other quick question, if I may. I happened to see in some of the local press that I believe there's going to be a meeting a week from today, if I'm not mistaken, with the transport minister. Any sort of color as to what might be on the agenda there or discussion of costs or maybe relief on some regulatory items?
Paulo Sérgio Kakinoff: Actually, since the Moreira Franco Minister assumed that position, he had requested us to come as a sector, I mean, represented by [indiscernible] from time to time to discuss on the current scenario on the most important effects that are affecting the operating results, and this is what is supposed to happen next week. There is no, I would say, specific agenda or additional agenda. But the discussion on the current scenario. We do not expect any kind of decisions or significant changes or benefits coming out of that meeting.
Operator: [Operator Instructions]
Paulo Sérgio Kakinoff: Excuse me, I would like to take this opportunity to correct wrong information. Now we have here a mismatch between 2 very important scores given. The contract is valid until -- the [indiscernible] contract is valid for 4 years, which means it's comprehend[ph] . That's the next year -- next year's World Cup. So it's just one World Cup, but it goes also until the Olympics Games in Rio de Janeiro. That's why we have that confusion in the information. So it's a 4-year contract, one World Cup and the Olympic Games. I'm sorry for that.
Operator: That's the question-and-answer session. I would like to invite Mr. Paulo Kakinoff to proceed with his closing statements. Please go ahead, sir.
Paulo Sérgio Kakinoff: I'd just like to say thank you very much to you all again, and have a nice day. Thank you. Bye-bye.